Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Liberty Global Third Quarter 2017 Investor call for its LiLAC Group operation. This call and the associated webcast are the property of Liberty Global, and any redistribution, retransmission or rebroadcast of this call or webcast in any form without the expressed written consent of Liberty Global is strictly prohibited. [Operator Instructions] Today's formal presentation materials can be found under the Investor Relations section of Liberty Global's website at www.libertyglobal.com. [Operator Instructions] As a reminder, this investor call is being recorded on this date, November 2, 2017. Page 2 of the slides details the Company's Safe Harbor statements regarding forward-looking statements. Today's presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the Company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical facts. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed from time to time in Liberty Global's filings with the Securities and Exchange Commission, including its most recently filed Forms 10-Q and 10-K, as amended. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which any such statement is based. Also note that nothing stated on today's call constitute an offer of any securities for sale. I would now like to turn the call over to Mr. Mike Fries.
Mike Fries: Thanks, operator. And welcome, everyone, to part 2 of our results call today, where we're going to focus on Liberty Latin America or LiLAC for about the next hour. To help dig into the operations and the numbers, I'm joined by Betzalel Kenigsztein, who is COO for the region; John Reid, who runs Cable & Wireless, the largest operating unit; and Chris Noyes, Chief Financial Officer. And they are going to make some brief prepared remarks as well. And I am thrilled to also have with us today Balan Nair, who was just announced as incoming President and CEO of our Latin American business after the split off occurs. And while he's not technically on the job yet, he is going to say a few words before we go into Q&A and then, of course, be available to address questions as needed. Now on Slide 4, one of the small benefits of becoming an Executive Chairman of this group going forward is that you won't have to listen to me going on for half the call. So today, I'm just going to hit the highlights and then, hand it over to the team. And I'm going to start with a quick update on the hurricane that recently swept through the Caribbean and Betzazel, John and Chris will get into more details but five of our markets were hit pretty badly, and Puerto Rico being the largest. And together, these island represent about 50% of our revenue in the Latin American group. And I think, first and foremost, we are pleased that all of our colleagues survived the storms safely. Although many of them have seen their lives turned upside down, as you could imagine. It's going to take time and capital to get our fixed and mobile businesses in these markets back on track. And certainly, while we're committed to restoring service, we're also focused on helping to rebuild the communities where our customers live and work as are many others. Lots of progress have been made in assessing the damage, getting networks operational and customer's back online but we have a long way to go, especially in Puerto Rico. I visited that island a couple of weeks ago. The team is 100% engaged and focused. But the loss of power is the key impediment to getting our systems and services back up and running. Betzalel will get into more detail in Puerto Rico and Chris will address the financial indications as we currently see them. But needless to say, while we are super confident about the long-term opportunity here, we have to reduce our 2017 guidance as a result of the hurricanes, and Chris will focus on that. In terms of our Q3 performance overall, if you net out the OCF impact of the hurricanes of roughly $24 million in Q3, the operations were actually tracking to our full year guidance and throughout the region, we did 40,000 net RGU adds. And again, Chris will take you through some of that in more detail. Switching to cable and wireless. It was good to see another quarter of stability on the top line. And despite the hurricane challenges, revenue grew across the entire region. Other than the Bahamas, just the one market there, which is still managing through the effects of a second mobile entrant. And with the changes we've made and the opportunity ahead I'm excited about what the Cable and Wireless can still achieve going forward. The fourth point is we remain committed to split off at end of the year and continue to work with SEC to finalize the documents, which was a big step in that direction, of course, with the announcement of Balan as the CEO coming in when the transaction closes. And as many of you should know or do know for the last 10 years, Balan has helped manage our European product and technology platform, overseeing 7,500 employees and $5 billion operating capital project. He's incredibly talented. He's a terrific operator and leader and he will have immediate and tangible impact in this business. He's also going to make sure that Liberty Latin America continues to benefit from the framework agreements that we're going to put in place with Liberty Global and to be sure, especially around products and technology procurement that we're getting the scale opportunities we all want to achieve here. We also announced that the new board which I'll chair, will consist of John Malone as well, plus two Liberty Global board members, Paul Gould and Miranda Curtis along with Charlie Bracken, our CFO and then Balan, of course, and three additional Directors who will provide, I think, important regional perspective. Eric Zinterhofer who is the Founder of Searchlight Capital. He's currently the lead board Director at Charter and a former Chairman of Charter, also a shareholder of our Puerto Rican business. Alfonso de Angoitia who is co-CEO of Televisa, you all know him well. Brendan Paddick who is Founder and former CEO of Columbus Communications and was a Cable and Wireless board member before we bought the business. It's a great team and I can speak for all of them when I say, we're excited to complete the split off and begin this new phase of growth and strategic opportunity for Liberty Latin America. And with that, Betzazel, over to you.
Betzalel Kenigzstein: Thank you, Mike. I will now provide an update on our business in Puerto Rico and Chile. Starting with Puerto Rico on Slide 5, I have been there with the team on a number of occasions in the hurricane hit, and as Mike mentioned, the island is going through a extremely difficult time at the moment. As the number of our customers connected to the network is still relatively low, we thought it will be more helpful to update you on what we're doing to get our operation back up to speed. Firstly, we'll kick off the recovery process. Thanks to the commitment of our colleagues, we have our good view of the damage that have been sustained and are working proactively to get the network repaired so that when power returns, we are ready to serve our customers. We have mentioned power previously as a key factor driving whether we can deliver our services and we are working hand in hand with PREPA, the local power authority, to ensure we coordinate our rollout with theirs. We expect that the more densely populated metropolitan areas will be restored as a priority. And this has also correspond to where most of our customers are. As an example, approximately 40% of our revenues was generated in the greater San Juan area. Clearly, this is a key focus for us and we have dedicated as many people as possible to the restoration efforts. Moving to the network in more details. Last week, we completed the restoration of our fiber optic backbone rings due to the foundation for providing our services, so it was a significant milestone. All of our main and remote hubs are also operational. This allows us to deliver all of our services and products as power returns across the island. And we are ramping up our workforce in anticipation of power and demand for our services rising. The current number of board crews are said to increase from 60 today to 100 by mid-November. As well as focusing on restoring connectivity as soon as possible, we're also increasing the resilience of the network for future events. Finally, we are being as proactive as we can be to ensure that our residential and business customers stay connected during this difficult time. A new product that we're excited about is a video streaming service. We’ll launch in a few days, will enable customers to access video content while they are on the move, providing the flexibility that customers are demanding today. Mobile services also tend to recover more quickly at times such as this, something we have learned at Cable & Wireless. So our customers will have another way to access our video services. We've also been providing WiFi hotspots in the hurricane hit and are now up to 18 locations in total across Puerto Rico. This has been very popular for consumers whether they are our existing customers or not. We have also launched a mobile WiFi tour caravan, converting satellite connectivity to free WiFi access for remote communities. The three mobile WiFi vehicles are leading a caravan of locally provided goodwill and services such as FEMA, banking, insurance, food, water, medical supplies and doctors to 29 remote towns that we do not currently have Internet connectivity. Finally, for our B2B and SOHO customers, we have been helping them advertise that they are still open to our Go Back to Business program. Our largest B2B customers have been our focus as we have been restoring connectivity, and we are close to 30% of our customers online. So it's still relatively early in the recovery process, but we are making good progress and are committed to Liberty Puerto Rico for the long haul. The situation is very fluid but based on what we know today, we suspect that it will be a long road to full recovery of the network and certainly well into 2019 at the earliest. Moving to Slide 6 and VTR, our Chilean business. Following a strong start to the year, Q3 saw continued excellent commercial and operational execution as we added 20,000 customers, which was an increase of more than 40% compared to the prior year. RGU were 19,000 higher, primarily driven by broadband addition, which were modestly higher year-over-year at 21,000 in Q3. This performance is a clear reflection of our leading speed and service quality compared to other operators. Q3 saw a significant ramping of our WiFi Connect Box rollout as we increased our deployment unit count by 100,000 or nearly 40%, with many more of our customers now benefiting from improved in-home WiFi coverage driving greater customer satisfaction. Looking at video net adds. Our innovative best-in-class VOD product continues to be received very well by customers, and penetration has doubled over the past year to 30% in Q3. Switching to mobile, we broke through the 200,000 subscriber mark in Q3 and continue to grow our base at a healthy rate. And these are nearly all postpaid customers. Of our 206,000 mobile customers, 97% are postpaid and with less than 10% of our fixed customer base taking a mobile product from us today, we think there's a long runway for us to keep building this business, albeit in a highly competitive market. We've also continue to make progress in SOHO on the foundations of the network strength, product and service quality, which has driven our consumer and SOHO segment. During the quarter, we added over 6,000 SOHO subscribers and now have 52,000 in total, with double-digit revenue growth sequentially. Finally, in terms of our Chilean footprint, we added and upgraded more than 50,000 homes in Q3, taking the year-to-date total to over 150,000. To wrap up, VTR is another strong quarter. And I'll now hand over to John, who will run through Cable & Wireless performance.
John Reid: Thank you, Betzalel, and hello, everyone. I'm pleased to tell you that Cable & Wireless continue to make good progress in Q3, both in terms of our KPIs and our financial performance. Of course, as Mike just discussed, there were some impact in the quarter from Hurricanes Irma and Maria, which obviously put some pressure both on revenue and OCF. However, despite Mother Nature, we were able to increase RGUs revenue and OCF year-over-year. As I said, before, we're on a journey to transform Cable & Wireless, starting with ensuring we have the right resources and cost base in place to deliver a winning customer experience and also ensuring that we have the best value propositions across our markets. While there's still a way to go, it was encouraging that we generated growth of 20,000 new RGUs in the quarter. Our technology team did a great job in the quarter of ramping up our upgrade and new build program with an additional 85,000 homes passed, taking our year-to-date total to over 165,000 upgraded households. To share some highlights, I’ll start with Panama, which is our largest market, contributing just over a quarter of CWC's revenue. Here we've seen the positive impact of the new master bundles with 5,000 RGU additions in the quarter. In mobile, we did see a nominal decline with 22,000 fewer subscribers but our mobile gross margins held steady as the base become more profitable, consistent with our strategy. In Jamaica, our investments has focused on upgraded and much of our copper network to BDSL, and we saw the benefits of this in Q3 as we grew across all product lines with 18,000 new additions in total. We also refined our go-to-market strategy with the launch of our new ultra bundle during Q3, helping drive solid revenue growth across triple-play services. Part of the reason for ultra success across a wider Caribbean is that we've included all of our exclusive premier league games in that bundle to drive up sell and ARPU uplift. Leveraging must-watch exclusive sports content remains very much part of our core strategy. In mobile, we have seen growth in data usage and our price increases have landed well, driving our Jamaican mobile revenue up close to 20% on a rebased basis year-over-year. Our third-largest business is the Bahamas. And the story here has been how we have continued to adapt to mobile competition, all in the entry of the new competitor late last year. We're continuing to see aggressive offers from the competition particularly in terms of handsets and this led to mobile subscribers falling 19,000 during the quarter. Partially offsetting some of these headwinds was good revenue growth across all product lines on the fixed-line services as we spin-off our unrivaled fiber-to-the-home offering. In an increasingly competitive market, it is obviously critical to have the best team in place. We continue to improve our management strength in the Bahamas with four new executives recently joining us from our competitor Cable Bahamas. Wrapping up, we also saw growth in our networks in managed services business. In networks, we have an unmatched subsea footprint as evidenced by C&WB and recognized for the fifth straight year as best wholesale carrier in our region. In managed services, we saw good growth in a number of markets. Revenue was up over 20% in Jamaica, 5% across the broader Caribbean footprint and 9% in the Bahamas. This segment brings it all together for us. Our strength in broadband, mobile, international connectivity and managed solutions are unrivaled and the growth opportunity remains significant across the 25 markets where we offer B2B services. While we saw good performance in the quarter, the hurricanes, of course were particularly damaging for the region and we're working hard to help our communities rebuild and restore services as quickly as possible, for example, through the $10 credits we gave to prepaid customers ahead of and after the hurricanes and our recently established Cable & Wireless Charitable Foundation. Rebuilding will take time and is expected to weigh on results in the impacted markets. But with this comes the opportunity to upgrade and drive efficiencies in plant and technology. Mobile has been quicker to restore and most of our customers back on the network. Overall, we're proud of how our customers, our employees and our partners came together to help the region, which really showcased the best of Cable & Wireless and brought to life our mission of connecting communities and transforming lives. So in summary, it's been another quarter despite the negative impact of the hurricanes as we make further progress on our journey to transform C&W. Looking further ahead, we are all convinced that there is a significant opportunity for growth across our markets as we deliver a leading suite of products to an unparalleled end-to-end customer experience. And with that, I'll pass you over to Chris, who will take you through the LiLAC financials.
Chris Noyes: Thank you, John. I'll begin on Slide 9 and provide a high-level summary of our Q3 financial results. Important to note that absent the hurricanes, and as Mike indicated, we showed continued progress in our financial performance during the quarter. And in terms of our reported results, we have not yet recognized any potential insurance proceeds related to the hurricane losses. We delivered $908 million in revenue and $359 million in OCF, a flat year-over-year rebased result. Continuing the theme throughout this presentation, we estimate that the hurricanes adversely impacted our performance by over $20 million in each of revenue and OCF. P&E additions totaled $193 million in the quarter, representing 21% of revenue as compared to $160 million in the prior-year period or 80% of revenue. The year-over-year increase was driven predominantly by C&W, due in part to our construction activity this past quarter in markets like Panama and Jamaica. Free cash flow, as illustrated in the bottom left corner of the slide, was a negative $110 million. The principal driver of this, as we highlighted on the Q2 call, was a $130 million pension contribution in July at C&W. Reported leverage, as seen in the bottom right chart, sits at 4.5x gross and 4.1x net. During the quarter, we completed the refinancing of the Columbus debt at C&W with a combination of bank and high-yield debt, reducing our overall borrowing costs and lengthening maturity. On Slide 10, I'll take you through the third quarter performance for each of our operations. Starting with LCPR, we generated $89 million of revenue and $40 million of OCF, reflecting a year-over-year decline of approximately $16 million for each, or a 16% rebased decline for revenue and a 29% decline for OCF. Specifically, the storms accounted for a roughly $90 million impact to revenue and a $50 million impact to OCF, largely stemming from customer credits associated with service interruptions. Moving to VTR in Chile, our largest single market, once again posted strong quarter results. Revenue was underpinned by solid organic growth across fixed, B2B and mobile, resulting in a 6% rebased top line increase over Q3 2016. Operating leverage in both direct costs and SG&A helped VTR deliver a 9% rebased OCF growth, resulting in an OCF margin topping 40% for the quarter. Turning to Cable & Wireless. C&W reported $579 million of revenue in Q3, up 1% on a rebased basis. From a product perspective, our wholesale, broadband and managed services delivered good growth, while both mobile and fixed telephony contracted modestly year-over-year. C&W generated $224 million of OCF or 4% rebased growth during Q3. This was a particularly encouraging performance given a negative hurricane impact of around $9 million in the quarter. Our underlying performance was supported by substantial decline in SG&A costs, reflecting, in part, reductions in marketing and consultancy costs. Moving to Slide 11. We thought it'd be helpful for investors to quantify the expected revenue and OCF impact for the fourth quarter, resulting from the hurricanes and our initial expectation on the spend required to restore our markets to 100% capability. These amounts represent our best estimates to date, however, the situation in markets remains fluent. Ultimately, many variables will impact our rebuilding efforts and financial results, including the timing of power restoration. Starting with Puerto Rico, financially, given the limited extent of our customers able to receive service today and our outlook for restoration of the power grid, we estimate that we will experience a reduction in revenue ranging between $80 million to $100 million and a reduction in OCF between $60 million to $80 million in Q4 2017. In terms of OCF specifically, this would result in negative OCF for the quarter. We expect these negative impacts will lessen as our network is restored and customers are reconnected. However, we expect the adverse impacts of the hurricanes will continue through 2018 and potentially beyond. In terms of overall rebuild, we currently estimate that it will require more than $100 million to fully restore LCPR’s infrastructure. With respect to C&W, we expect a much more limited overall impact and we currently estimate that the storms will adversely affect C&W's Q4 revenue and OCF by between $15 million and $25 million. In terms of restoration of the networks across the impacted markets, preliminary estimates indicate amounts in excess of $50 million for a full built. In terms of insurance, we have an integrated group property and business interruption insurance policy as part of our natural catastrophe risk management program, covering us up to a limit of $75 million per occurrence, subject to approximately $15 million per occurrence of self-insurance, so $60 million maximum per occurrence in proceeds to the group. We expect there to be at least two occurrences under our policy across the group. Our corporate and operating teams are working with our insurance advisors to efficiently pull together supporting material to document the extent of the damages and to be in position to work through the claims process with our lead multinational insurance carriers. Of course, it will take time to move through the process and we will have more information to share on our year-end earnings call in February. Regardless, we believe, at a minimum, this process will take well into 2018, and we'll be looking for interim payments starting in the first half next year. Moving to the upper right of the slide, we presented a guidance update for the group. Including the impact of hurricanes, we now expect to deliver OCF of approximately $1.35 billion in 2017, reflecting an aggregate estimated hurricane impact of between $100 million and $130 million. Adjusted free cash flow is now expected to be negative principally due to the reduction of OCF from the hurricanes, and we continue to expect our capital intensity in the range from 19% to 21% of revenue at the consolidated level. Finally, bottom right of this slide, summarizes our liquidity position. At the end of Q3, we had $1.5 billion of liquidity, including $0.5 billion of cash and roughly $1 billion under our collective credit lines. To wrap it up on Slide 12. First, the hurricanes had a major impact on Puerto Rico, and to a much lesser extent, Cable & Wireless. The restoration work is in full swing. The majority of our mobile markets are up and running again and we are now fully focused on repairing our fixed infrastructure. VTR delivered another set of strong operational and financial results while C&W showed encouraging underlying performance, with improvements on a number of fronts. Looking ahead, Q4 is going to be especially difficult for our businesses in Puerto Rico and several smaller islands in C&W. However, we remain committed to our businesses in these markets and believe in their potential. Certainly, the hurricanes have created a speed bump in our immediate plans, but they’ve not altered our vision for this region. And with that, I'll hand the call back to Mike.
Mike Fries: Thanks, Chris. That's certainly well said your last remark there. And before we jump to Q&A, I would just like to officially welcome Balan to the Liberty Latin American family. He escaped the obligation to speak to any slide, but I'll just point out that he has been involved in these operations all along as our Global Chief Technology Officer, providing product and technology guidance and wisdom and helping these local operations throughout on their key nine plans. As I’ve mentioned, he’s a terrific executive, he’s going to provide just the right kind of leadership and focus we need right now. So I'd ask Balan to make a couple of remarks and then we'll get to your questions. Balan?
Balan Nair: Thank you, Mike, that's quite kind. I'd like to take a moment to say a few words before we move into questions. The announcement of my appointment as CEO earlier this week as well as a new leadership team for Liberty’s Latin American and Caribbean Operations is an exciting development in this business. I'm really looking forward to working closely with team members across the group to grow the business organically or through M&A to create value and deliver cutting-edge fixed mobile and converged products to our customers and build a culture of which we can all be proud. I've got a number of ideas as to how we can build a stronger business and I'll be particularly focused in growing our revenue in this underpenetrated and underserved markets. With our fixed and mobile platforms and innovation engine, we have the opportunity to capitalize some trends that favors a seamless access to mobile data, to more data and benefit from the expansion of our services as well as the economic growth that'll take place in these markets in which we operate in. As Mike mentioned, I think it's important to note that while after the split-off, we will be a separate company, we will still benefit from Liberty Global's scale, its ability to negotiate attractive pricing with vendors and its investments in technologies such as next-gen set-top boxes, fast broadband connectivity, IoT, mobile, and new forms of customer service. The halo effect of Liberty's brand is incredibly powerful and I've seen it firsthand in my current role and one we will all use to our collective benefit. And lastly, I'm going to say I'm so happy to work with Mike Fries on this venture. He is one of the smartest CEOs in our industry. I will definitely leverage his experience and insights as we build an amazing company here. With that, I'll pass it to the operator for your questions.
Operator: [Operator Instructions] Our first question comes from David Joyce with Evercore.
David Joyce: Thank you. You've made a lot of progress with new home builds. I was hoping you could talk about comparing and contrasting the growth addition activity in those buildout areas versus your current legacy operations, since you've been building out in basically all your operating areas, if you could touch on all of those, that would be great.
Mike Fries: Yes. I'd say, do you want to start, Betzalel, in Chile?
Betzalel Kenigsztein: Yes. Thank you, Mike. In Chile, in the last quarter, we have another 50,000 homes and they are delivering great results. We are making sure that we are attracting the right segments in the market where we have high penetration. And it's a massive driver of our growth in the last quarters and like we discussed it before, also for Europe, it's a base for keep-on growing in the coming quarters as well. So technology wise, we're extending our network, the same HFC deep with fiber and it's paying off, delivering the best spin in the market today.
Mike Fries: John, do you want to talk about the islands where we're building?
John Reid: Yes, we're starting to see some certainly some traction, and I'll start with Jamaica where we are upgrading our ADSL footprint, that's not overlapped by our competitors and so we're starting to see some traction there as evidenced by the RGU growth in the quarter. A couple of projects were a little bit late in getting the traction we want in terms of the build, but we're back on track now and we'll hit our objectives for the rest of the year. So we'll start to see the revenue and the OCF coming through there particularly in Jamaica over the final quarter and into next year. In Panama, as I indicated the master build and upgrade plan is doing well and on schedule. Our retention, as well, is focused as much, I guess, on the ADSL network that either is in this migration or upgrade to VDSL. And so while we're expanding our footprints and we're also upgrading our HFC to two-way which is near completion, we're also focusing in the next couple of quarters on the VDSL upgrade from ADSL or certainly, migrating to the HFC plant because we still have a considerable number of customers on the old copper network that we need to upgrade and provide a new suite of services, too. So overall, I think 85,000 new homes upgraded in the quarter, on track for the year, as I indicated and starting – we should start to see actually even more positive outcome and that positive outcome from those upgrades in the subsequent quarters.
Mike Fries: Yes. I mean, may not make similar from Europe, David, the opportunity in the region particularly on the fixed side, I mean, the mobile network always need to be advanced and upgraded and that's happening. But in the Cable & Wireless footprint in particular, fixed is a relatively small part of the business. So wherever possible, the group is focused on identifying and rolling out and upgrading fixed networks to make that quad-play, that converged opportunity real and live in those core markets. That's a great, certainly one of the areas that Balan's going to be super helpful on having overseen the new build program in Europe, which is quite sizable. I think that's just one of the many areas where he's going to have immediate value.
David Joyce: All right. Thank you.
Operator: We will go now to Jose Quintana with Scotiabank.
Unidentified Analyst: Yes, thank you. This is [indiscernible] for Jose. Thanks for taking the question. I just want to confirm if I heard correctly that 30% of your customers in Puerto Rico are already online. And I'm asking this question because I am wondering if the percentage of your customers online is in line with the number of electricity restoration, say, the percentage of homes in Puerto Rico that already has access to electricity, which I understand, is also around 30%? And also, I would like to know your view on the government's expectation to have around over 90% of homes reconnected to electricity by mid-December. So I'm just wondering how you are performing against all versus the electricity restoration.
Mike Fries: I don’t think we have. Do we have Nodgee [ph] on the phone, Betzalel?
Betzalel Kenigzstein: No, but I can answer the question, Mike, if I –
Mike Fries: Yes, go ahead.
Betzalel Kenigzstein: I think that there was maybe a misunderstanding. The 30% that was mentioned before was regarding our main B2B customers. Since most of those customers are connected with fiber, we were able to accelerate the reconnect of those B2B customers and we are close to 30% of our main B2B customers reconnected. On the residential part, we have to be careful how we read the reports of PREPA because they were reporting the consumption, not necessarily the numbers of homes connected. So, if we look – and it was not very accurately reported. So if you go back to the number of home connected or customers connected, I would say that, on the residential segment, we are less than 10% and that's quite in line with the number of homes that have electricity today. On the pace of restoring power, I haven't seen a 90%, I think it's well – it's not realistic that 90% of the homes will be – will have power by the end of the year. But I would leave that to PREPA to report on that. We don't see that pace at the moment. We are seeing only this week the termination of the main power line reconnected out of three. So we're expecting in the coming days to see more and more homes getting powered in the [indiscernible] area. But we would be happy to see 90% by the end of the year, I would be surprised. But I’ll leave that to PREPA.
Mike Fries: Yes, I agree that's not – it's not – we're not in control of that, I know, Nodgee [ph] and the local team are heavily engaged and involved in the day-to-day. Having flown over the island recently, this is Mike, the issue is the transmission lines. The distribution network, a lot of it is up, down streets, down – not all of it, of course, but the distribution – the transmission network in the center of the island, that's the challenge. So if we can get that up, that would make a big difference in the local market. Next question operator.
Operator: We will go now to Julio Arciniegas with Royal Bank of Canada.
Julio Arciniegas: Hi. Thank you taking my question. Initially with relate, again, with the network, could you give us some color on what is required to get the network running? Let's say, because for example, they were mentioning that more or less 10% of the subscribers that are already up and running which is actually quite similar to the percentage of basically households with power. So could we assume that once power has been turned on, basically, the company will be able to sign delivering the service? And when would you expect to start having revenues to the same level as you used to have in Puerto Rico? And the second question is regarding the debt covenants. How – does the situation in Puerto Rico has an impact on the debt covenants in Puerto Rico? Thank you.
Mike Fries: Chris, why don't you start with the debt covenant issue, and then Balan and Betzalel could address the network. Go ahead.
Chris Noyes: Yes. I mean, on the debt covenants, on the LCPR facility, we will be compliant when we file the Q3 results. And it will continue to monitor the liquidity in the business as we go along. We had – from a liquidity perspective, and I think that's probably a question folks will have, we had roughly $46 million cash at the business. At the end of Q3, we made the October interest payments. And so we have sort of a net roughly $30 million. We drew the $40 million revolvers subsequent to quarter end, so we have roughly $70 million of cash starting if you look through October moving forward. So we'll continue to monitor liquidity as we go and with the build, future sources of liquidity could include certainly insurance proceeds to support from the shareholders of business.
Julio Arciniegas: Got you. If I might follow-up..
Mike Fries: You want your first question answered? Or you want to follow-up on their debt covenants?
Julio Arciniegas: Well actually, you mentioned about the insurance proceeds, when should we see these proceeds coming in?
Mike Fries: We can’t give you that timeframe today. I mean, Chris and the team and a whole series of outside consultants, lawyers that are working very, very hard on getting that, but we don't have today an estimate of when that would be. That takes time. Anyone who's been involved in this region, of course, we went through a similar experience in the Bahamas last year, it takes time to get that process and you want to do it right in terms of defining events and demonstrating business interruption and things of that nature. Did we say any thing publicly Chris for next year I imagine.
Chris Noyes: Yeah, I would say we are certainly, we are working hard on it to the extent interim payments could start flowing in the first half of next year but that, obviously, lots of variables that could impact that. But it's going to take quite a while to resolve the claim we would expect in its entirety.
Mike Fries: Betzalel, you want to address the network question and its reliance on power?
Betzalel Kenigzstein: Yeah, I would say and I mentioned that before, there are two key elements when you look at the network. One is the main backbone, fiber backbone that we finished restoring. The good news is we have our main backbone restored, the main hubs connected and ready to go. The moment that the power – we are working very closely with PREPA and we are on top of their, they share their progress and our plans. Our crews are working just behind PREPA and the moment that we have power, either immediately or in matter of days, our customers get the service. So we are just chasing and going step by step behind PREPA.
Mike Fries: We also rely on their poles for our infrastructures. And next question operator.
Operator: We will go now to Citi’s, Jason Bazinet.
Jason Bazinet: Thank so much. Sorry to keep going back to Puerto Rico. Is it fair to say that in your $80 million to $100 million revenue impact in Puerto Rico, you're just assuming that service order is not restored at all in the fourth quarter and then we just have to decide how much this dribbles into next year? And then my second question is, I think – maybe add my numbers wrong but your old full year OCF guide of $1.5 billion going to $1.350 billion, if I back up the 3Q, 4Q hurricane impact, there's still sort of $20 million to $50 million shortfall roughly. Can you just elaborate on what organically sort of changed other than the hurricane? Was it the Bahamas or is it something else changed relative to your prior outlook?
Mike Fries: Chris, first one is accurate, Chris you want to address that.
Chris Noyes: On the first point it’s still relatively low amount of customers through the quarter which will generate a fairly low level of revenue, as you could imagine, we have less than 10% residential customers up today. In terms of your second question, Jason, relative to the guidance. If we look at the overall OCF impact on Q3 plus the impact for Q4, that equates to $100 million to $130 million. Take that off of the $1.5 million and we also factored in some variability in FX. That's how you get to the $1.35 billion.
Jason Bazinet: Okay, so it is only FX, nothing really fundamental. Okay. Thank you.
Operator: Matthew Harrigan has our next question
Matthew Harrigan: Well thank you, I actually have two questions relating to Mike’s comment, SCTE. And the first one, you said you were really all in on the wireless business, you even said you would be two and three years in value more than in MVNO. Is all that really condition with what you're already seeing the benefits from the quad-play or if you look longer term, you actually bit of steady, EUR250 billion benefits over in Europe, given the cable presentation. Does some of that apply to Latin America and certainly, it's so fanciful to put it even on your five-year analyst forecast, when you really think about the business on a 10-year time line, does that layer in? Then the second question, you said it's pretty difficult to tell on the engineering side when you're competing with Silicon Valley. Sometimes, they look around the room, I thought you and I were probably the two loneliest people in the room, I was really amazed. Does that give you any pause or are you be able to ride on some of the innovation down California and in Asia? And are you guys – both hire younger people and honestly, being able to replace Balan and over on the Liberty Global side, if that's too much. I know you can't really with this all.
Mike Fries: Good question. On the quad-play remember that fixed global convergence has two sources. It is defensive and it is offensive. And in Europe, not to distract, but in Europe, the defensive component of it is not that important meaning that if a telco incumbent is going to offer a national mobile and a national fixed bundle, we have to respond. So in some respects, being in the mobile business in Europe is beneficial to us in terms of both retaining and growing our customer base in the context of that competition. There are also significant benefits through your own churn NPS and revenue growth, so it's not simply defensive because we know it's easier to sell mobile to fixed customers. And they like it more and they pay you more and they stick around longer. So it's a nice virtuous cycle. Remember, in this part of the world, mobile is already a large part of the revenue stream, much larger than it is in Europe because much of the Cable & Wireless businesses were originally mobile assets so they're entering the fixed business on a secondary base. But I think the same logic applies. And here, I think, my personal view was Cable & Wireless will be able to dictate the pace and market benefits of convergence as opposed to have to respond to third parties or other competitive agents. So I think it's in a great position to do that. And John can respond a little bit more on that but let me jump to a question on innovation. I don't know a company that I think as far along on the innovation curve as ours when it comes to both the video platform, cooperating with the key Silicon Valley companies, whether it be Netflix or Apple or others or Google. We have good strong relationships with them. We understand the trend and the way things are trending whether it's in the use of data or advertising or subscription television. And Balan has been instrumental, no question, in maintaining those relationships and ensuring that we are front and center, not just on things that are developing and happening in that market but also having concrete and tangible relationships. So I think it will be a huge value to LiLAC to have someone like Balan in that role. He would probably have that benefit indirectly if he would to remain in his current position because we want the framework agreement to benefit both parties. And he will certainly be difficult to replace. But as he would tell you himself, it's always a healthy thing to get a new fresh set of eyes on some of the things that we're doing. There are not many people like Balan but certainly in the process of trying to find the best and brightest, who will step into a much stronger technology and IT and innovation platform than the one he assumed and built from scratch, basically, over the last 10 years. The new job won't be quite as daunting in a sense that they'll be handed quite a lot of the necessary elements to build value going forward. John, do you want to comment on quad-play at all in your markets? John Reid The only thing I'd say
John Reid: The only thing I would say is that the impact – I guess the luxury of having a fragmented asset base is that we have numerous what we would call sandbox markets to trial FMC. And we're already looking for – looking at possible deployments this coming year. So I think that's what I would say that we have very small assets. We have medium sized, obviously Panama and others, Jamaica, that are of decent size. We have smaller assets, in which we can trial and error different value propositions and also bring together obviously common building platform. So that is certainly on our radar for 2018.
Mike Fries: Balan do you want to give any perspective on Matt's question on innovation?
Balan Nair: While sure, I would really echo what you said about relationships with the Silicon Valley companies. But remember, most talent attracted to growth businesses and whether it's Liberty in Europe, Liberty in Latin America, I'll tell you, we are of growth business. And you will see us more and recently move towards more software and you'll get a lot of great talent joining us. We see that already in building the platforms that Mike described in Europe.
Matthew Harrigan: Congratulation Balan.
Balan Nair: Hey thanks man.
Operator: We'll go now to Soomit Datta with New Street Research.
Soomit Datta: Hi couple of questions, please. One back to Puerto Rico. What are your thoughts looking to 2018 as to the potential impact from DTH alternatives and wireless alternatives, which might be able to get back to market quickly than the HFC network? I mean, particularly, I think your fixed line competitor was talking about offering wireless solutions to fixed customers, I think it's own fixed customers which would may be – not be up and running soon, but that's going to play to your customers. I wondered if there's some potential structure or shift you might see in the market away from the cable to DTH and wireless solutions? And then secondly, if I could please, just on the buyback, again, what are you thinking into next year, is it essentially not really being considered given events in Puerto Rico? Thank you.
Mike Fries: I think on the buyback, I would say it's too soon to talk about that. Generally, we update our buyback guidance when we update our – at the year-end so that would be a February kind of decision. And by then, we'll know a lot more about both insurance and damage assessment and how we're trending. The only thing I'd say on your first question, I'll let Betzalel expand on it. As you did mention, we are working on our own IP streaming product that would use the wireless networks to provide our customers with access to content in the interim. But I think you raised a good point. I mean certainly, a small generator can run a satellite dish and our issue is relying more on terrestrial power both for our network and for the customer's home. We're also building great goodwill. I mean, as I was down there, you can see it dozens and dozens of people benefiting from our WiFi hotspots. And any strategic property to secure customer happiness and loyalty, I know the local market Nodgee [ph] and his team are doing. So do you want to expand on that at all? Betzalel?
Betzalel Kenigsztein: You're absolutely right, Mike. I think that – yes, there is a raise in the DTH is there and can offer the service without power. On the other hand, our product, before the hurricane, is definitely the most robust product in the market and if we remain that way after the hurricane. So we believe that our broadband proposition is extremely strong. Customers are, as you know, across the market, they prefer fixed over mobile broadband and that’s what is driving our penetration and our customer satisfaction. So we will – as power restores, the commercial restoration is part of the program as well and that's definitely on our radar screen. Okay, couple more questions, operator?
Operator: We’ll go now to Steve Malcolm with Arete Research.
Steve Malcolm: Yes, good morning, good afternoon guys. I started to come back to Puerto Rico, but I’m just going to ask a couple of questions if I can. First of all, can you confirm, if Puerto Rico, is LCPR a single occurrence under your global insurance contract? Would you only be able to only make one claim or could there be multiple claims as a result of the two hurricanes? And secondly, just coming back to the covenants, you very helpfully put footnotes on Page 31 of the Q, in which you kind of admit that it seems very likely you've reached the covenant at the end of the fourth quarter, which is kind of obvious when you look at the OCF guidance you've given. But you've also mentioned that there is sort of carve-outs around the way you can treat one-off impacts because when you run the numbers, obviously, the trailing six-month OCF is going to be negative, which implies the necessary cures are massive to try and recapitalize the business. Can you may be just sort of walk us through how that might play out and what the add-backs might be in the hurricanes and how we should think about those cures and recapitalization of that business? Thank you.
Mike Fries: Chris, why don't you tackle the insurance one and then, I know you – both, between you and Charlie can address the covenants.
Chris Noyes: Sure, I mean – we did discuss that we see at least two occurrences. I would say the one thing to keep bear in mind is the policy is an integrated policy. So it's for, we call it, the greater region. So with that, that could pick up multiple jurisdictions. So at this point, we're not disclosing what exactly is the occurrence and the number of claims decided…
Mike Fries: I think the point there is the beneficiary is Liberty Global Latin America and then how it uses those proceeds is TBD…
Steve Malcolm: Right. Okay, but I mean, clearly, most of the losses are going to be in Puerto Rico. So it's relevant as to how many occurrences is it apply there, right? If it's more than one there that could cover a lot of your losses. If it's only one, you're going to be quite substantially popular in Puerto Rico, I guess…
Chris Noyes: I would say, obviously, there's two hurricanes, There's Irma and there's Maria. So you can certainly infer that, there is an incurrence for each one and there's a number of variables that impact what is defined as an occurrences. So we're working through that as we speak. In terms of the covenants, you're correct in terms of referring to the disclosure. No doubt, the maintenance tests that are in place will have – will be with negative EBITDA. That will be challenging. We have the ability to cure the covenants. We can cure them two successive quarters and so we will obviously be focused on that as we get into Q4.
Mike Fries: Chris, why don't you reference the current liquidity of the overall Liberty Latin America?
Chris Noyes: Good point, Mike, I mean today we have $1.5 billion of our overall liquidity within the group, $0.5 billion of cash, $1 billion on the line. So from a LiLAC perspective, we have ample liquidity to handle the situation in Puerto Rico as it relates to the covenants.
Steve Malcolm: Just to be clear, would it be – most of that is cash in the CWC or OCF? I mean would you be prepared to upstream a lot of cash in CWC to make the cure? And then one follow-up is what do you think the proportionate leverage of the group is when you don't add back covenants and things like that?
Chris Noyes: Yes, yes, good question. I mean I would say, from overall liquidity perspective, we have a number of sources CWC is one but I would also point you to VTR. We have a significant cash balance in Chile and we have a $200 million plus line there. So that is one key funding pool for us today. No doubt, our covenants, as we disclosed in the CWC release, it's 4.1x and that is proportionate covenant on that credit pool.
Steve Malcolm: Okay.
Chris Noyes: So if you look across the group, we reported 4.5x grows, 4.1x net. We do a triple proportionate, you have to take it up a little bit for the quarter.
Steve Malcolm: Thanks a lot, okay. Maybe I’ll come back hopefully. Thanks a lot, Chris, Thanks a lot Mike.
Chris Noyes: Yes.
Operator: And we have time for one final question. The final question comes from Kevin Roe with Roe Equity Research.
Kevin Roe: Thank you, two quick questions. First, for Chris on your integrated insurance policy, you mentioned the $15 million self-insurance deductible. Is there a co-pay or co-to-share? And one question for John, how close are we to revenue stabilization at BTC? Just any update on the competitive dynamic there would be helpful. Thank you.
Chris Noyes: Yes, with respect to your first question, the answer is, no.
Mike Fries: I’ll take. Kevin that was pretty quick, so I can jump in. I think our expectation is that the mobile market is still pretty volatile and certainly in the short-term, I think that's fair to say. Projections are probably pretty bang on when we kind of thought we would be after a year one really now or close enough to it. So the emphasis for us is obviously on the fixed-line business. We will see some more homes path, upgrade home path come on over the next couple of quarters. And so I think it's probably fair to say as well as that we've been a little bit disappointed in the pace of the FTTH sale through. And that's why we attracted some pretty capable executives that we have known personally for about 20 years from Cable Bahamas to drive both the operating side of that as well to be quite frank, the entire sales channel. So I think our view on the Bahamas, mobile will continue to sort of find its way over the next few quarters. But at the same time, we will definitely see an uptick on the fixed-line business. But recognizing that mobile still represents a significant piece of the income statement. So I think it will be a few more quarters before we get a really good sense on for how we're going to land but certainly, more positive after year one in terms of where we thought we would be and I guess more of the outlook in terms of network capability as well as really the capability of driving execution.
Kevin Roe: Perfect, thank you.
Mike Fries: All right. That wraps it. I appreciate everybody joining us for the second call here. A lot of update and information hopefully on the hurricane that gives you some clarity both in the 10-Q and on the call here. Super excited for Balan to step in as soon as the split-off occurs, which is still expected to happen at year-end. I think that will be a great moment for Liberty Latin America to continue to take advantage not just of the operating opportunity it has but then, start drilling in more aggressively on some of the strategic value creation opportunities as well. So appreciate your support and speak soon.
Operator: Ladies and gentlemen, this concludes Liberty Global's Third Quarter 2017 Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Global’s website at www.libertyglobal.com. There, you can also find a copy of today's presentation materials.